Operator: Welcome to Vector Group Ltd.'s Second Quarter 2023 Earnings Conference Call. This call is being recorded and simultaneously webcast. An archived version of the webcast will be available on the Investor Relations section of the company's website located at www.vectorgroupltd.com. During this call, the terms adjusted operating income, adjusted net income, adjusted EBITDA and tobacco adjusted operating income will be used. These terms are non-GAAP financial measures and should be considered in addition to but not as a substitute for other measures for financial performance prepared in accordance with GAAP. Reconciliations to adjusted operating income, adjusted net income and adjusted EBITDA and tobacco adjusted operating income are contained in the company's earnings release which has been posted to the Investor Relations section of the company's website. Before the call begins, I would like to read a Safe Harbor statement. The statements made during this conference call that are not historical facts are forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially from those set forth or implied by forward-looking statements. These risks are described in more detail in the company's Securities and Exchange Commission's filings. Now, I would like to turn the call over to President and Chief Executive Officer of Vector Group, Howard Lorber.
Howard Lorber: Good morning and thank you for joining us for Vector Group's second quarter 2023 earnings conference call. With me today are Richard Lampen, our Chief Operating Officer; Bryant Kirkland, our Chief Financial Officer; and Nick Anson, President and Chief Operating Officer of Liggett Vector Brands. I'll begin with an update on our balance sheet and then review Vector's consolidated financial results for the second quarter of 2023. Then I will ask Nick to summarize the performance of our tobacco business. I will close with final comments and open the call for questions. We will begin by discussing Vector's consolidated balance sheet. Our balance sheet remains strong. As of June 30, 2023, we maintained significant liquidity with cash and cash equivalents of approximately $330 million, including cash of $103 million at Liggett. We also held investment securities and long-term investments with a fair value of approximately $161 million. Turning to Vector Group's consolidated results for the 3 months ended June 30, 2023. Vector's revenues for the second quarter 2023 were $365.7 million compared to $387.2 million in the corresponding 2022 period. Net income was $38.1 million or $0.24 per diluted common share compared to $39.2 million or $0.25 per diluted common share in the 2022 period. The company recorded adjusted EBITDA of $94.1 million compared to $95.1 million in the 2022 period. Adjusted net income was $50.8 million or $0.32 per diluted share compared to $40.2 million or $0.25 per diluted share in the 2022 period. Turning to Vector Group's consolidated results from operations for the 6 months ended June 30, 2023 [ph]. Vector's revenues for the 6 months ended June 30, 2023, was $699.8 million compared to $699.2 million in the corresponding 2022 period. Net income was $72.8 million or $0.46 per diluted common share compared to $71.7 million or $0.45 per diluted common share in the 2022 period. The company recorded adjusted EBITDA of $172.2 million which was flat from the 2022 period. Adjusted net income was $84.8 million or $0.54 per diluted share compared to $66.8 million or $0.42 per diluted share in the 2022 period. I will now turn it over to Nick to discuss our tobacco operations. Nick?
Nick Anson: Thank you, Howard and good morning. Liggett continued to deliver impressive results in the second quarter and first half of 2023. In the second quarter, Liggett's wholesale and retail shipments both outperformed the industry. This outperformance was a driver of the increase in our gross profit of $7.6 million or approximately 7% and which reflects the gradual shift in our strategy on our Montego brand from a volume-based approach to an income-based approach. Despite a recent cooling in headline inflation numbers, prices remain high and disposable income among lower-income Americans consumers continues to be under pressure. Despite these dynamics, the deep discount market segment remains strong even as the overall cigarette market declines. The deep discount segment presents an attractive price option for consumers and we are confident that our value-focused brand portfolio and broad national distribution provide Liggett with a competitive advantage as the migration to deep discount continues. Montego which became our largest brand in 2022 has also grown to become the second largest brand and fifth -- second largest discount brand and fifth largest cigarette brand in the United States. Our distribution of Montego expanded to approximately 89,000 stores in the second quarter of 2023, up from 67,000 stores in the prior year period. The brand's national retail market share increased to 3.5% in the second quarter of 2023, up from 2.4% in the prior year period and from 3.4% in the prior quarter. Our strategy with Montego is consistent with our long-term objective of optimizing profit by effectively managing volume, pricing and market share in our value-based brand portfolio. That is reinforced by the fact that while our investment in Montego has expanded our foundation for long-term earnings growth, we continue to reap significant benefits from Eagle 20's and Pyramid which delivers substantial income and market presence. As I mentioned earlier, according to data from Management Science Associates, Liggett's second quarter wholesale and retail shipments both outperformed the industry. Liggett's second quarter wholesale shipments declined by 7.9%, whereas industry wholesale shipments declined 8.9%. As we have regularly noted in the past, we believe retail shipments are a better indicator of industry trends due to inconsistent wholesaler purchasing patterns. In addition, other manufacturers' wholesale promotional programs typically do not impact retail sales. Liggett's retail shipments for the second quarter declined by 1.8% compared to the same period in 2022, while industry retail shipments declined by 7.1%. As a result, I'm pleased to report that Liggett's second quarter 2023 retail market share grew on a year-over-year basis to 5.8%, up from 5.5% in the prior year period. On a sequential quarter basis, Liggett's retail market share was flat at 5.8% which was anticipated as we gradually transition our Montego brand focus. According to Management Science Associates' retail data, for the 3 months ended June 30, 2023, the discount category represented 29.2% of the total market, up from 27.5% in the same period a year ago. For the second quarter of 2023, we estimate that the deep discount segment comprised 13.9% of the overall market, up from 11% in the same period a year ago and 13.7% in the first quarter. I will now turn to the consolidated tobacco financials for Liggett Group and Vector Tobacco. For the 3 months ended June 30, 2023, revenues decreased 2.3% to $365.6 million from $374.3 million for the second quarter period in 2022. This decline was attributable to the approximate 8% decline in wholesaler shipment volumes, partially offset by a 6.2% increase in pricing. For the 6 months ended June 30, 2023, revenues increased 2.4% to $699.8 million from $683.4 million for the corresponding period in 2022. This increase reflects a 6.1% increase in pricing, offset by a 3.4% decrease in wholesale shipment volumes. Liggett's operating income for the 3 months ended June 30, 2023, was $75.1 million compared to $88.3 million in the corresponding 2022 period. This decline in operating income was the result of an $18 million accrual related to a recent agreement in principle with the state of Mississippi to settle a long-standing dispute over our 1996 agreement, partially offset by a higher gross margin from price increases. In connection with this settlement, the company will recover a $24 million bond it posted to pursue an appeal. Tobacco adjusted EBITDA in the second quarter increased 5.3% to $94.7 million compared to $89.9 million for the corresponding prior year period. For the 6 months ended June 30, 2023, tobacco adjusted EBITDA increased 4.6% to $174.6 million compared to $167 million for the corresponding prior year period. Liggett's second quarter adjusted operating income increased 5.5% to $93.2 million compared to $88.4 million in the prior year period and our operating margins also grew. Our second quarter adjusted operating income was 25.5% of revenues which represents an increase of 190 basis points compared to the second quarter of last year and an increase of 200 basis points sequentially. In the second quarter, we continued to see the benefits of our strategic investment in Montego. After significantly expanding the brand's distribution we have carefully started to increase pricing on the Montego brand at a modest pace. Montego remains competitive in the deep discount category. And the price gap between Montego and the industry's leading premium brand remains stable in the range of 45% to 50% discount at retail. On the regulatory front, we expect both the final standard on menthol and a preliminary standard on reducing nicotine in combustible cigarettes later this year. As we have previously discussed, while we have always supported reasonable regulation based on sound scientific evidence, we remain firm in our position that prohibition is not the right answer as it inevitably drives unintended consequences such as the growth of illicit on regulated markets. In summary, the operational and financial performance of our tobacco business remains strong. Our retail market share gains and profit growth will validate our long-term strategy and competitive advantages in the discount segment. Most importantly, our strategy builds on our foundation for long-term earnings growth. While we were subject to industry and regulatory and general market risks, we are confident that our strategy team and infrastructure position us well to continue this strong momentum. Thanks for your attention and back to you, Howard.
Howard Lorber: Thank you, Nick. We are pleased with our operating results as well as our long-outstanding practice of paying a quarterly cash dividend. It is our expectation that this dividend policy will continue. Now operator, please open the call for questions.
Operator: [Operator Instructions] And we will take our first question from Pallav Mittal with Barclays.
Pallav Mittal: If you could -- Nick, I think this is for you. So if you could explain the dynamics between the wholesale and the retail shipments, there's a significant gap in what's happening with market share and also the volume data. So is there some significant inventory movements which are happening and which could unwind over the next couple of quarters?
Nick Anson: So with respect to this quarter, Mittal, what we're looking at here versus the more stable retail data is, last year, as you may recall, as we were growing the Montego brand getting increased distribution, there was significant inventory build on the part of the wholesalers. This quarter and over the course of the first half of this year, we've seen some minor deloading of inventories as the cost of inventory based on interest rates have started to decrease. So that's the primary difference but what you're seeing at the moment between the more stable retail numbers and the wholesale numbers.
Operator: Well ladies and gentlemen, there are no -- those are all the questions that we have for today. Thank you for joining us on Vector Group's quarterly earnings conference call. On behalf of all of us at Investor Group and Liggett, we thank you for your participation. And this concludes today's call.